Operator: Good morning, and welcome to the Designer Brands Second Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded.  I'd now like to turn the conference over to Justin Fischer, Director of Investor Relations. Please go ahead.
Justin Fischer: Good morning. Earlier today, the company issued a press release comparing results of operations for the 13-week period ending July 29, 2023, to the 13-week period ended July 30, 2022.  Please note that the financial results that we will reference during the remainder of today's call excludes certain adjustments recorded under GAAP unless specified otherwise. For a complete reconciliation of GAAP to adjusted earnings, please reference our press release.  Additionally, please note that remarks made about the future expectations, plans and prospects of the company constitute forward-looking statements. Results may differ materially due to the various factors listed in today's press release and the company's public filings with the SEC. The company assumes no obligation to update any forward-looking statements.  Joining us today are Doug Howe, Chief Executive Officer; and Jared Poff, Chief Financial Officer. Now let me turn the call over to Doug.
Doug Howe : Good morning, everyone. Before discussing this quarter's performance, I want to thank our team for their dedication and hard work during the quarter that played out against a challenging macroeconomic backdrop. Because of our team's commitment to improving results, I am pleased to share that we posted overall comps that improved throughout the quarter in addition to posting sequential improvement from the first quarter. Our gross margin also increased year-over-year as well as sequentially and marked the second highest Q2 rate over the past decade. Sequential improvement along though is not enough. Within our organization, we are committed to producing year-over-year growth across our top and bottom lines. As we work towards achieving that goal consistently, I'm pleased with our team's efforts to continue reading and reacting to a highly promotional environment while simultaneously managing our inventory to an appropriate healthy level in both our retail and brand segments. We are also showcasing consistent operational progress. From an own brand perspective, we are very excited to have launched a completely new athleisure brand, Le TIGRE in the first month of Q3, and we are rolling out new collaborations as we diversify and strengthen our portfolio, which will drive our profitability over the longer term.  I also want to take a moment to highlight a very important hire we made during the month of July. I'm thrilled to announce that Laura Denk has been brought on board as the new President of Designer Shoe Warehouse. Laura joins us with an incredible resume that includes time at Macy's, Claire and Michaels stores, most recently as Michaels Chief Merchandising Officer. Laura will bring her extensive merchandising background, ability to forge strong vendor partnerships, knowledge of augmenting customer experiences and importantly positioning and elevating owned and national brands within our DSW specific channels. With her leadership, we'll be growing our credibility as an on-trend brand builder and retailer. This will help us drive the next phase of growth and will allow me more time to focus on DBI's overall strategic priorities including driving our own brand's performance, both inside and outside of the DSW. Please join me in welcoming Laura.  I recently hit the 100-day mark in my new seat as DBI's CEO, and I want to take a moment to reflect on the progress we've made and the actions we are taking to ensure we are well positioned for our next phase of growth. It has become increasingly clear to me that we have two distinct and valuable businesses, our legacy retail business and our new and growing brands business. Combined, they give us distinctive synergies that do not exist elsewhere in the industry.  Laura's hire follows the organizational realignments we instituted a few months ago, which aim to align our talent and resources more closely with the needs of our different businesses, while setting the foundation for strong strategic growth.  Additionally, we recently announced that Bill Jordan will be stepping down from the business. With this change, we intend to hire a seasoned brand builder to help lead our growing brands business. We are immensely thankful for the work Bill has led, to help made Designer Brands where it is today and wish him the very best. Designer Brands truly is unlike any other company in the footwear industry, and I firmly believe we have unique advantages that will deliver strategic growth into the future.  Turning to our quarter's results, in the second quarter, Designer Brands net sales declined 7.8% compared to the second quarter of last year but improved 290 basis points versus the first quarter decline, driven by increasing strength in our casual offerings. Total retail comps were down 8.9%, while wholesale net sales were up roughly 20% versus last year as we integrate the Keds and Topo Athletic brands and launched our newest brand, Le TIGRE. Our long-term strategy of doubling sales of our own brands from 2021 to 2026 remains a top priority, and we continue to move full speed ahead on our journey. Year-to-date through the second quarter, our own brands penetration, including wholesale sales increased year-over-year by 60 basis points to 25% of total DBI revenue. This progress has continued into the third quarter. We are thrilled with the recent launch of Le TIGRE. We are equally proud that Topo Athletic has seen steady growth and continues to meet our expectations in terms of performance.  We are also excited to continue building our success with Hush Puppies as we have now become the exclusive licensee in the U.S. and Canada, including new DTC channels and international expansion. Ranked fifth by people.com for the hottest fashion launches you need to shop for this summer, on August 1, Le TIGRE launched as our newest brand. And as of 8/14, customers were able to buy the brand at DSW. As a reminder, Le TIGRE is new to the footwear space, and we are thrilled their inaugural athletic athleisure launch is with us. The Le TIGRE brand was established in 1977, rooted in New York City street culture and timeless style, and we are bringing the Born in the City, Raised in the Wild, Ready for Anything spirit to this new collection. Their footwear line includes both women's and men's selections inspired by vintage athletic design and loaded with modern day comfort. I couldn't be more excited about the work and the strategic approach that has gone into this launch, our first ever launch of a new national brand.  Turning to Hush Puppies, we recently signed an agreement to become the exclusive licensee of the brand in the U.S. and Canada. This was highly informed by the special relationship DSW already had with Wolverine related to exclusive U.S. distribution and is a stellar expansion to our comfort and casual categories in owned brands. Now as the official license, we'll take over the hushpuppies.com business, which will be our sixth independent e-commerce site, and we will have the ability to wholesale the brand in North America. Hush Puppies growth within DSW has been robust, up nearly 60% of the quarter versus last year, driven by men's with growth across casual, dress and boots. Excitingly, our first product expression is anticipated for spring of 2024.  Returning to our progress in the quarter at Keds, our integration continues to advance as expected. We also launched exciting collaborations in the quarter, both with Recreational Habits and stock. First, our Recreational Habits partnership produced a sophisticated take on the court sneaker in classic white and grey colorways. Complementary to this, our Saks launch is designed to cater to the latest Pickleball Craze and court sports enthusiasts. We've implemented marketing activations at Saks complemented by a robust influencer and digital campaign. As part of this launch, we excited customers with an actual pick of all top of court inside of Saks Fifth Avenue store in New York during July. As part of our exclusive launch, the product was initially available only through Saks Fifth Avenue and [indiscernible] channels. And later this month, we are bringing the in-house to be hosted exclusively on keds.com beginning on September 22.  At Crown Vintage, Emma Robert's first curated collection Emma's Fits launched during the quarter. This included engaging video content on dsw.com which drove positive customer interactions and buzz. We also have new content coming with Emma in October around seasonal boots and booties. This long-term partnership continues to strengthen our brand positioning and relevance with our Crown Vintage target customer.  At Vince Camuto, we're pleased to have launched our first men's franchise shoe line, FLY365, a dress-meets-casual style hybrid shoe collection. As we build out this franchise which sets this line apart from the rest of the pack is the use of special technologies and production, not often found in non-athletic men's shoes, including features like a supportive cupsole for stability, a cushioned lightweight midsole for weight reduction and energy return and a rubber outsole for traction and durability.  We have merged the European inspired Vince Camuto aesthetic with technical comfort innovation to target the modern male customer who is less likely to compromise on comfort in the post-COVID world. In fact 365 was recently highlighted in Footwear News.  Growing our men's business across all of DBI remains one of our largest white space opportunities and we believe represents a significant growth lever over the long-term. We believe that our new offerings from Vince Camuto and Le TIGRE will help us gain traction with male customers that are increasingly prioritizing the unification of comfort and style. Our continued success was evident in our Q2 results, where we saw Vince Camuto men's sales up 95% in dot.com.  We are also committed to strengthening our relationships and expanding our business with the national brands that are most relevant to our customers. This strategy remains on track as we continue leveraging our position as the top point of distribution. As part of our edit and amplify strategy, we continue to be excited with our Nike partnership that we announced last quarter. We will leverage this relationship to provide an athletic offering across men's, women's and kids, giving our customers an elevated physical and digital assortment.  Finally, we continue to be more cognizant of providing increased value to our customers. One of our greatest strengths is our long-standing vendor relationships and associated opportunistic closeout buys with large national brands. As such, as part of our long-term relationship with Wolverine, we executed an advantageous buy that provided us with an opportunity to offer compelling savings to our customers on Sperry, Saucony, Merrell and Chalco products in the quarter. We look forward to offering additional events for our customers in the fall. Before I hand it over to Jared, I'm going to quickly speak to our full year outlook. Although we anticipate macro pressures will continue through the end of the year and in fact, have the potential to increase, today, we reaffirm our full year 2023 guidance, supported by the sequential improvement we saw from Q1 into Q2. We still have our Septober and holiday selling season ahead of us, and we continue to be laser-focused on meeting and driving demand with on-trend product. Jared will go into more detail on this in a few moments.  As we move forward, we continue to prioritize value-creating opportunities and are committed to returning capital to our shareholders. In fact, year-to-date, through September 5, Designer Brands has returned $91.1 million to shareholders through a combination of dividends and share repurchases. I'll let Jared speak more on our strategic capital allocation plans for the back half of fiscal '23. I look forward to updating you all on our strategic initiatives as we move through the back half of the year.  With that, I'll pass it over to Jared. Jared?
Jared Poff : Thank you, Doug, and good morning, everyone. I want to reiterate Doug's comments and say how excited I am to welcome Laura Denk as our new President of DSW. She will be a tremendous asset in driving our strategic vision for our DSW business, focusing on tactical merchandising, marketing and our overall experience, all of which will be anchored to our current and target customers. We believe that there is meaningful growth to be had at DSW and that Laura's leadership will help us unlock that growth. I share Doug's feeling of pride in our organization and this team's ability to continue managing through the increasingly challenging current environment, allowing us to deliver a second quarter adjusted EPS of $0.59, in line with our expectations. We saw sequential improvement over the first quarter in both our sales and gross margin. And as a result, we are reaffirming our current full year guidance despite continued industry and macro headwinds.  Now let me provide a bit more detail on our financial results. For the second quarter, sales decreased 7.8% from last year to $792.2 million and an improvement from the first quarter's results. The continued pressure on consumers, high inventory across the industry and an extremely promotional retail environment, all contributed to this decrease.  From a wholesale perspective, sales were up roughly 20%, driven by the acquisition of Keds, our launch of Le TIGRE and acquisition of Topo Athletic. In our retail segments, total retail comps were down 8.9% compared to last year, but improved sequentially from the first quarter. U.S. retail costs specifically were down 9.2% in the quarter, but also sequentially improved from a pressured Q1. While Canada posted comps down 7.3% in the quarter, this was on top of a very strong post-COVID recovery comp of just over 47% in the second quarter of 2022. We remain pleased with the results we are seeing at vincecamuto.com, one of our premier DTC channels with comps up 50 basis points on top of roughly 43% comp last year.  Consolidated gross margin was 34.5% in the second quarter compared to 34.4% last year, an increase of 10 basis points and a sequential improvement of 250 basis points versus last quarter. The sequential improvement was primarily driven by lower markdowns. Importantly, our gross margin continues to be fundamentally strong with consolidated gross margin up 400 basis points compared to the second quarter of 2019.  Year-over-year profitability improvement was also driven by consolidation of our fulfillment centers and significantly lower logistics costs, including freight, shipping and distribution expense. The impact of consolidating our fulfillment centers, specifically the Columbus Fulfillment Center into the New Jersey ECLC allowed us to achieve a more favorable level of fixed and variable expense leverage. This benefit was partially offset by increased promotions, the continued rebuilding of our clearance business and deleverage of our fixed store occupancy cost.  Our adjusted SG&A ratio for the second quarter was 26.9% of sales compared to 26.5% in the second quarter of 2022. Although we are experiencing modest deleverage given our current retail out performance, we saw sequential improvement from a dollar and rate perspective versus first quarter. Going forward, increased marketing investment to build brand equity and maintain customer awareness could put pressure on sustaining this ratio. This trend may see volatility as we continue rolling out our new DTC sites and execute other strategic initiatives, but we will continue to pursue opportunities to trim costs across the entire business. For the second quarter, adjusted operating profit was 7.9% of sales compared to 8.2% in the prior year and sequentially improved from 3.5% in the first quarter of 2023. In the second quarter, we had $6.9 million of net interest expense and our effective tax rate on our adjusted results was 29.3% compared to 31.8% last year. Finally, our second quarter adjusted net income was $39.4 million or $0.59 diluted EPS versus $46.1 million or $0.62 last year, and $35.8 million or $0.48 in 2019.  We ended the second quarter with inventories of $606.8 million, down roughly 13% compared to $694 million last year and down sequentially from $637.4 million in the first quarter. On a retail inventory square footage basis, we ended down 10% versus the second quarter of 2022 and down 4% compared to Q1 2023.  Wholesale inventory ended the second quarter down 10% and adjusted for the acquisition of Topo and Keds, inventory would have been down 33% when compared to last year. Because we have remained nimble in our approach to our assortment, we feel good about our inventory positioning heading into fall, ensuring we have the flexibility necessary to chase and take action on opportunistic buys.  As a reminder, at the end of the last quarter, we announced the commencement of our Dutch Auction Tender offer, which allowed us to invest in our own stock. In mid-July, we announced the final results of the offer, which included repurchasing $14.7 million of our Class A common stock at a price of $10 per share under our existing Board-approved share repurchase program. As always, we maintain an ongoing dialogue between management and our Board of Directors on our capital allocation strategy. Together, we continue to believe that our most prudent use of capital at this time is to return it to our shareholders. As a result, we have continued to purchase shares in the open market. We view this as a vote of confidence in our long-term strategy. In the first two quarters of fiscal 2023, based on trading date, we returned $32.9 million to shareholders through dividends and share repurchases. Thus far in the third quarter, we have added to that total by $58.3 million through September 5, thanks to the continued open market repurchases.  We ended the quarter with $46.2 million of cash and our total liquidity, which includes cash and availability under our revolver of $279.9 million. As of the end of the quarter, we had $233.7 million available to draw on our revolving credit facility. However, given the share repurchase activity mentioned previously that has occurred since the end of the second quarter, our current availability to draw on our revolving credit facility was $227.9 million as of 9/5/2023.  As a reminder, to help fund our capital allocation priorities, we previously announced that we had entered into a five-year term loan. Upon closing that facility, on June 23, 2023, we immediately drew $50 million under the term loan and anticipate drawing the additional $85 million throughout the course of the year. The proceeds of that subsequent draw will immediately be used to pay down outstanding debt under the revolving credit facility.  We continue to await the receipt of the remaining $40 million of our CARES Act tax refund due to us from the IRS. We are happy to report that the IRS has formally closed our standard audit for which this refund applies with no adjustments. And as such, we are now simply waiting on the refund request to work its way through the appropriate approval channels at the IRS and Treasury Department for ultimate funding. Before I conclude, I want to share a few remarks on our current guidance. As discussed last quarter, our updated guidance assumes the continued pullback in consumer spending with a recovery delayed until later in the year. Consistent with prior views, the largest uncertainty continues to lie squarely with a discretionary consumer while also contemplating a multitude of other pressures, including competitive inventory, the health of the consumer and overall macroeconomic headwinds.  Our current guidance assumes that our retail comp performance improves throughout the balance of the year as the macro pressures on the consumer begin to subside and as our prior year comparables become lighter. That being said, pressures continue to weigh on the consumer, and therefore, potential for headwinds to worsen remains.  I do want to cover a few updates within our assumptions. With the previously discussed repurchase activity, our share count is now expected to be approximately 64 million weighted average diluted shares outstanding for fiscal 2023. With the new term loan, interest expense is now expected to be approximately $35 million for the full year. Thus the incremental interest of the term loan essentially offsets the benefit of the lower weighted average outstanding share count for our fiscal 2023 EPS figure. Additionally, our estimated tax rate is anticipated to be 30%.  With all of this in mind, and given the sequential improvement seen in our most recent quarter in terms of sales and margins, we are reaffirming our fiscal 2023 EPS guidance range of $1.20 to $1.50. As Doug noted, we have made incredible progress in our evolution as a company, including recent leadership hires, launches of new brands, growing with existing brand partners and accelerating our journey as a brand builder. I have strong conviction in our path forward.  With that, we will open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Today's first question comes from Gaby Carbone with Deutsche Bank. Please go ahead. 
Gaby Carbone : Good morning. Thanks for all the color today. So first, I was wondering if you could maybe discuss the changes you saw in category performance, if any, from 2Q versus 1Q. And then as we look to the fall season, obviously, the boot category becomes quite important. Just curious how you're thinking about inventory there. Thank you.
Doug Howe : Yeah. Thanks, Gaby. This is Doug. There's really two category performance where we continue to see buoyancy in the casual category. Obviously, the capitalization trend just continues to gain momentum. [Indiscernible] reacting to that with managing the inventory. So again, we feel really good about that business in particular. Second point, we have a dominant penetration in the new category. It's very, very early on. We talked a lot about Septober, which is the key time for boot selling. So I think the majority of that season is ahead of us all. We are seeing some nice initial results on fashion goods, particularly driven by western. So we're cautiously optimistic about that. But again, the majority of the season is still ahead of us.
Gaby Carbone : Got it. And if I could just sneak in one more. So moving ahead, obviously it's been promotional out there. Curious, just what kind of baked into your guidance on the promotion front. And then are there certain categories you're seeing more promotional activity? And then you mentioned that like you're still seeing high inventory levels across the marketplace. So curious if you have any view when maybe you think the marketplace will be a bit more clean.
Doug Howe : Yeah. Good question. Yes, [indiscernible] done a really strong work with managing our margin and largely that is fueled by the fact that our inventory is in really good shape. So we didn't feel the need to get overly promotional. We are seeing the landscape improvement as we move through the back half, particularly in the athletic category. I think we'll start to see that inventory start to normalize, which hopefully will allow us to be less promotional. So we're saying very close to that. But as you said, it's a choppy macroeconomic environment out there. So we'll definitely stay close to it.
Gaby Carbone : Great, thank you so much. 
Doug Howe : Thank you. 
Operator: [Operator Instructions] Today's next question comes from Mauricio Serna with UBS. Please go ahead.
Mauricio Serna : Great. Good morning. And thanks for taking our questions. First, I wanted to ask if you could provide maybe some color on what you see on quarter-to-date performance, in any particular segment versus Q2. And if we think about second half, should we see like any big difference between the sales growth in Q3 and Q4.  Then just on the margins, you talked about SG&A probably the SG&A rate probably being a little bit more pressured because of the marketing and the launching of the website. So does that mean that SG&A dollar growth will accelerate in the second half? Or how should we think about that?  And then just lastly, on the balance sheet, very encouraging to see all the buyback continuing in Q3. Is there like a potential for even more given how there's also the higher leverage on the balance sheet at this point? Thank you.
Doug Howe : Yeah. Thanks, Mauricio. This is Doug. There's a lot to unpack there. I think you had four questions. So I'll take the first two on the current performance and then Q3 and Q4, and I'll hand it over to Jared to speak to SG&A and the balance of the year.  As you know, we don't comment on sales in the current quarter. Having said that, we haven't seen anything that would lead us to change our guidance, which is why we're maintaining our outlook. We think about sales growth in Q3 and Q4 definitely a tailwind, we feel, certainly, as regard to we're up against softer comps in Q3 and most notably in Q4. Nice tailwinds are our fall campaign that we're going to be kicking off the DSW to really focus more on bringing awareness, which we're optimistic about. And then secondly, as we shared last quarter the return of Nike, we are very excited about continuing to elevate that partnership. So again those are two tailwinds. But again, as we navigate through choppy macroeconomic environment, we're balancing, obviously those tailwinds with those headwinds. 
Jared Poff : And I want to echo one thing that Doug had said to make sure it's clear, we've reiterated this a few times. In our current guidance, which we reaffirmed, we are assuming there is a pretty material change in the current trajectory that we've experienced year-to-date. That's always been the case, and we believe, especially as we get against easier comps, that is why we have belief.  To date, we have not seen that, but we haven't planned to see that yet, but that is what is anticipated, but that is why we called out. There is certainly, I would say, a net risk position as it pertains to the macroeconomic conditions and turning -- seeing that turn to the degree that our current guidance has in there. But for now, it is on trend and that's why we've reaffirmed guidance.  To your last two questions on the SG&A, I'm actually very glad you spoke or asked about that because in my mind, right now, where the consensus modeling is probably most disconnected for the fall. I want to take you back to a moment to our initial guidance for SG&A for the year. And what we had said was that we have done the reorg that we talked about and some cost savings initiatives that stripped about $25 million year-over-year out of our legacy business. But we also have about $50 million of SG&A to add into the overall company because of Keds, Topo and the 53rd week.  And right now, I'm not seeing consensus reflect that on a total year basis. In fact, it's looking like most consensus has that SG&A dollars below LY [ph]. So I think that's one of the biggest disconnects that are currently out there in consensus. So that and the new interest within the loan. I want to call you back to that which I gave guidance to, if we look at a change in SG&A dollars spring to fall, there's about a $40 million shift to kind of get to what I just talked about our full year guidance. That's coming from a few big buckets of work.  One, we've got marketing. We shifted about $15 million of marketing across the company out of spring into fall as we were not seeing the traction or the incremental traction that we would have expected to see with that marketing.  So we've moved that into fall. We use some of that for back-to-school. And we're very excited to be launching for the first in a long some DSW branding top of funnel marketing, very video heavy in the fall as well. So that shift has moved. We also have about $9 million of that 53rd week that's being added in there. So again, that's unique to fall, not happening in spring, and then about $4 million related to coming off the TSA with our Keds transition. That has always been the case. We just weren't sure when that was going to materialize that final month, we have a month of catch-up to do, and that happens to be in Q3. So all of that together, along with selling expenses related to an improvement in our comp performance totals about $40 million shift in SG&A between fall versus spring and more in line with that total year guidance that we gave at the beginning of the year, which I just want to make sure you guys are properly modeling.  And then the last question was repurchases. Obviously, we have wanted to take advantage of what we think is a very opportunistic price. We funded that with term loan liquidity, and we've been executing. We did want to give, which we did cover in the current quarter because it was much heavier than even what we accomplished in the second quarter. And there is some remaining. We never commenced to future activities. So we quoted up through yesterday up to the fifth, but that's, I think, proof of how confident we feel in our long-term strategy.
Mauricio Serna : Great. Thanks so much for all the details. 
Operator: Thank you. [Operator Instructions] Our next question today comes from Dylan Carden with William Blair. Please go ahead.
Dylan Carden : Thank you very much. Jared, just sticking with that last, the IRS refund, primary use of addition to that [ph] or how you think about that in full?
Jared Poff : Yeah, the lion's share of it is on our revolving credit facility to adjust mechanically. As soon as that comes in that will immediately be used to pay that down. We will always assess as we always do current stock price versus liquidity and overall capacity to buy. So we aren't committing to deploy that in one particular fashion. And on day one it would be used to pay down our ABL debt. But there's no commitments or earmarked for those funds at this point.
Dylan Carden : Okay. And then I just want to make sure I understand kind of the balance of guidance. So you have a lot of tailwinds between comparisons in Nike, et cetera. But if the consumer sort of takes a leg down here, would that be sort of detrimental to guidance at this point, just given some of the rhetoric on?
Jared Poff : Yeah. So Dylan and you hit it on the head. As we look out for the year and how we built that guidance range, we are anticipating a pretty material shift in overall year-over-year performance than what we've experienced in the spring. That's always been the case, and that's what we've always communicated. And we do have some tailwinds and you hit them on the head.  We've got easier comps. We've got Nike coming in. We've got some new branding advertising going on that I just talked about. So there certainly are tailwinds. At the end of the day, though, and we've been seeing it across the entire retail lens, especially people who sell to the consumer, the discretionary consumer, we're seeing a lot of caution. And right now, I call it -- I feel like we're in a net risk position even as it pertains to our current guidance. But it really lies square with that discretionary consumer and how they're feeling it going into fall.
Dylan Carden : And the last one, we haven't talked about sort of the loyalty program in a while. I'm just kind of curious how these new brands interact with or essentially built on the back of the lower number that you had and how much of your sales would happen [indiscernible]? And anything part of retail?
Doug Howe : Dylan, this is Doug. Again, we're pleased with the progress of the brands that we mentioned in the remarks, Keds and Topo Athletic. And then most recently Le TIGRE, very early days on, obviously. We're excited about that as we were the first launch partner at DSW, but we believe that there's opportunity to expand that outside of DBI channels of distribution, which is a broader opportunity as we move forward in general. So everything is performing to our expectations. We feel really good about that.  And I think that just goes back to the strength of our business and the fact that we have the brand segment as well as the retail segment that we did realize those sales in our own channel. So just more confidence in the strategy that we're going to be deploying going forward. 
Jared Poff : The one thing I would add to that, Dylan, is -- and I mentioned it with our SG&A, this month, we will be basically fully off that transition services agreement, actually a little ahead of schedule with Keds. So while, this has been a pretty transition late in the year for Keds, they've been performing at their acquisition model. We're really excited to have them now on our infrastructure for wholesale, for DTC and really excited about positioning them to start having strategic growth now that they're actually on our systems.
Dylan Carden : Got it. And then just another one quick one here. Nike, can you just [technical difficulty] what the business was historically. But I think I'm right in sort of a new relationship with Nike to reengage this channel. How are you thinking about the scale of the pace of the dynamics of that relationship kind of on -- I think it launches this fourth quarter, right?
Doug Howe : Yeah. Dylan, this is Doug. Again, we continue to be very optimistic about that integrated partnership with Nike. We actually are going to be delivering the product a little bit earlier than we originally anticipated, about a month earlier. We actually have some products available on our site, and we'll have a significant amount of units rolling out to our stores in the next couple of weeks. And again, that's about a month earlier than we had anticipated. So again, that is definitely a tailwind.  So we feel good about that. We haven't shared specific with you with regards to how that brand would be. We shared obviously what it was historically, but we manage that very carefully as we manage all of our portfolio of brands. And it will really be informed obviously by what the customer is demanding and where we're seeing the top-line.
Dylan Carden : Okay, that's all I got. 
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Doug Howe for any final remarks.
Doug Howe : Well, thanks everyone, for tuning in today, and I just want to reiterate thanks to our team for all their dedication as we move throughout very challenging macroeconomic backdrop. We look forward to keeping you updated on our progress as we move through the back half of the year next quarter. So thanks again.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.